Operator: Good day and welcome to the Streamline Health to announce Third Quarter 2015 Financial Results Call. Today's conference is being recorded. At this time, I’d like to turn the conference over to Randy Salisbury, Chief Marketing Officer. Please go ahead.
Randy Salisbury: Thank you for joining us today to review the financial results of Streamline Health Solutions for the third quarter of fiscal 2015, which ended October 31, 2015. As the conference call operator indicated, my name is Randy Salisbury, as Senior Vice President and Chief Marketing Officer here at Streamline Health. I manage all communications, including Investor Relations. Joining me on the call today are David Sides, President and Chief Executive Officer; and Nick Meeks, Senior Vice President and Chief Financial Officer. At the conclusion of today's prepared remarks, we will open the call for a question-and-answer session. If anyone participating on today's call does not have a full text copy of the release, you can retrieve it from the Company's website at streamlinehealth.net or at numerous financial websites. Before we begin with prepared remarks, we submit for the record the following statement. Statements made by the management team of Streamline Health Solutions during the course of this conference call that are not historical facts are considered to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and are subject to risks, uncertainties, assumptions and other factors that could cause actual results to differ materially from those reflected in the forward-looking statements included herein. Please refer to the Company's press releases and filings made with the U.S. Securities and Exchange Commission, including our most recent Form 10-K reports, for more information about these risks, uncertainties, and assumptions and other factors. Participants on this call are cautioned not to place undue reliance on these forward-looking statements that reflect management’s analysis only as of the date hereof. The Company undertakes no obligation to publicly revise these forward-looking statements. On this call, the Company will discuss non-GAAP financial measures such as adjusted EBITDA. Please refer to our website at streamlinehealth.net and our earnings release for reconciliation of such non-GAAP measures to the most comparable GAAP measures. Management uses certain non-GAAP measures to evaluate and monitor the ongoing financial performance of our operations. These non-GAAP measures do not include certain items of income and expense that affect operations, and other companies may calculate these non-GAAP measures differently. With that said, let me turn the call over to David Sides, President and Chief Executive Officer. David?
David Sides: Thank you, Randy, and good afternoon, everyone. I'm pleased to report another solid quarter of performance in almost all areas of our business. Before I review some of the highlights from our third quarter performance, I want to remind everyone that last quarter, I said, we believed our Q3 financial results will be similar in many respects to our solid Q2 numbers. Specifically, we stated that we believe the revenue growth trend will continue albeit without a perpetual license and that revenues in the third quarter will exceed $7 million. We said that we continue to see positive traction in our Professional Services Group as we sign new bookings that lead to more immediate implementations. And with regard to adjusted EBITDA, we continue to see positive trends that we are confident we will meet or exceed the estimated range in our fiscal 2015 annual guidance of $1 million to $1.5 million. As previously released during the third quarter of fiscal 2015, we generated revenues of approximately $7.2 million, an increase of 3% over the previous quarter and excluding the $1.6 million in perpetual license revenue, and an increase of nearly 6% over the third quarter last year. Recurring revenues were 90% of total revenue for the third quarter. For the first three quarters of 2015, we have generated approximately $22 million in revenue. Looking ahead, we believe that revenues for the full fiscal year 2015, which we provided in April during our Q4 and fiscal 2014 year-end earnings call, will be in line with our original guidance of $29 million to $30 million. Turning our attention now to professional services, revenues as anticipated remained at similar levels to Q2 at approximately $622,000. During the third quarter, we invoiced approximately $250,000 of additional professional services, which were deferred will be recognized ratably over the client’s contract terms, in conformity with current accounting guidance. Through the first three quarters of this year, we have recognized more than $1.6 million in professional services revenue with an additional $1.4 million invoiced, but deferred. Regarding our adjusted EBITDA, we generated approximately $1.7 million in Q3, bringing the total amount of adjusted EBITDA through the first nine months of fiscal year 2015 to approximately $2.3 million. Clearly, we have already exceeded the estimated range of adjusted EBITDA in our fiscal 2015 annual guidance of $1 million to $1.5 million. Looking ahead, adjusted EBITDA for the fourth quarter will be closer to breakeven due to the timing of certain expenses such as audit costs et cetera. We’ve made great strides in improving our balance sheet over the last couple of quarters. Improvement that has resulted in a meaningful build-up in our cash on hand while at the same time driving a significant reduction in our debt. Specifically, during the third quarter of this year, our cash balance increased more than 40% to $8.5 million from $6 million at the end of the second quarter of this year. In total, we generated $4 million of cash from operations during the third quarter and we expect to generate cash in the fourth quarter as well. Our cash on hand at the end of the quarter nearly matched our total debt of $8.6 million. I stated last quarter that our goal is to increase cash and up over the next few quarters to reach a debt neutral position and for all intents and purposes we are already there. The continuing improvement in our balance sheet and specifically our improving cash position will enable us to execute on a couple of key initiatives we believe will help us return to meaningful revenue growth. First, we can invest more in sales and marketing, and I will discuss this in detail momentarily. Second, we will be able to consider potential acquisitions in future quarters as we look to augment our solutions offerings and to add inorganic revenue into our go-forward growth strategy. Third, we continue to invest heavily in our solutions with innovations and integrations to improve our position in the market. We were able to fund these investments by looking into every area of our operations with fresh eyes to see where we can do things better, quicker, more efficiently. As stated in our press release today, an area where we believe we can be more efficient is with our outside audit firm. Over the past three years with the help of our auditors at KPMG, we’ve made significant improvements in many of our financial reporting systems. We’ve decided to right size our audit partner to RMS from a better position to meet our ongoing needs. I want to emphasize that management has no disagreement with KPMG regarding our financial statements and that no delay in filing our 10-K for the 2015 fiscal year is expected as a result of our change in auditors. I’ve asked Nick Meeks, our Chief Financial Officer to discuss this move in greater detail in his prepared remarks coming up in a few minutes. But before I turn the call over to Nick, I want to spend some time this afternoon specifically on our third quarter bookings. Frankly, this is the only area of performance that did not meet our expectations. Earlier this year, I said that we’ve continued to build the pipeline and we believe is capable of generating a multimillion dollar new bookings each quarter going forward, and we continue to build on that pipeline. In the first two quarters of this year, we averaged approximately $6 million in new contract bookings which was a very good start to our year. Historically, we have not been able to smooth out our quarterly bookings for multiple reasons. In the third quarter, many deals in the pipeline moved forward into Q4 into future quarters resulting in $1.1 million in new contract bookings. In my view, we can and we will do better than this going forward. With the ICD-10 conversion in October, it was our experience in Q3 that many CFOs held off on making a purchase decision on any coding solutions. One of the key metrics the entire industry will be watching closely is expected spike in claims denials based on poorly or wrongly coded records. As we move through December, we should all get a better handle on how serious this issue may be. Once healthcare provider CFOs and senior leaders handle on their billing issues and capabilities, we believe we will see an uptick in activity around our Looking Glass, CDI, and Coding solutions. There are many reasons for this belief, the most prevalent being the hospitals today cannot simply staff up with new coders. First, they are expensive and second they are in short supply. For the large healthcare systems who look to augment their capabilities compare their existing staff up coders to be more accurate and productive plus our third quarter bookings number should have been higher. We are in position now to invest more in our sales and marketing resources in order to better deliver the range of quarterly bookings we expect quarter end and quarter out. Let me describe how we plan to invest in sales and marketing going forward. Many of you heard me use the analogy of a wedding cake to describe how we envision our sales process. We see the first layer of our sales structure to be our account executives. We have three AEs today who are focused on the bulk of our 90 clients. These associates are dedicated to maintaining solid ongoing communications with our clients and execute upgrades, update and modest-sized contract renewals. We believe there is plenty of selling activity that this group can focus on. We plan to add more headcount here. I believe we can do a better job of growing with our existing clients especially those are the big footprint representing many points of care. The second layer of the sales function is the direct sales group. Today, we have six Regional Vice Presidents. These salespeople have specific geographic territories and their job is to establish or build on existing relationships with key decision-makers in large complex healthcare providers in their area. Going forward, we envision expanding the number of defined territories from six to as many as 12 over time. But in the near-term we need to add high performers into our direct sales force including a key account manager for accounts such as Acadia, CHS and others that represent long-term growth opportunities due to the size and scope of their operations. The third level of the sales function is key partners such as TELUS in Canada, Cymetrix now part of Navigant and NTT. We’re pleased to report that we have signed a new channel partner; himagine solutions in St. Louis, Missouri will be reselling our Looking Glass CDI abstracting and coding solutions. In addition, we’ve signed a strategic alliance agreement with NPA Consulting in California. NPA will use our Looking Glass business analytics solutions, help their clients improve their financial health during the course of their engagements and upon conclusion recommended they continued to use our solutions. We continue to be in discussions with other potential distribution partners who recognize the power of our Looking Glass platform and the benefit our solutions can bring to their customers. We plan to add a dedicated channel partner manager to better nurture the existing channel partners and to grow the number of partners we have in order to reach more prospects more quickly. In the fourth or top level of the sales process includes key strategic partners such as Optum360 and NantHealth. These are partners who tend to deliver large multimillion dollar contracts. These opportunities continue to grow, we will look to add a new strategic accounts manager, but in the meantime I will continue to lead that effort. But the ability to invest more in sales and marketing, I believe we can deliver the kind and size of new contract bookings we need quarter in and quarter out in order to return to a steady and perpetual double-digit growth rate in the future. We expect that you will see changes in additions throughout the sales and marketing organizations in the coming quarters. I will now turn the call over to Nick Meeks, our CFO for additional insight into our quarterly performance. Nick?
Nicholas Meeks: Thanks David and good afternoon everyone. Before diving into the numbers allow me to spend a moment on the transition of audit firms. KPMG audited the Company for two years including the Company's first integrated audit at an aggregate expense of over $2.3 million. While, there were a number of intangible benefits to having a big core audit firm, the expense was clearly crowding out higher ROI spend for Streamline. We face the reality where KPMG was too large for Streamline and Streamline was too small for KPMG. Beyond that fee level KPMG and Streamline had no other fundamental disagreements being unable however to find a mutually amenable fee structure Streamline needed a new audit firm. Management and the audit committee conducted a wide search for a new firm and received numerous competitive bids. Ultimately, the audit committee elected to engage RSM formally known as McGladrey. As one of the top 10 audit firms in the country I am quite confident Streamline will be able to successfully leverage both RSM as public company and industry experience for years to come and do so at a quarter of the expense incurred with KPMG. While there are material efforts involved in transitioning audit providers, the plan has been crafted with our firm and collectively we will begin executing on that plan as soon as this call is over. There is ample time to effect this transition before our next filing, our 10-K and we anticipate no disruption to Streamline’s regular filing cycle. Let me turn now to our fiscal third quarter results. David has already covered revenue and adjusted EBITDA I would only add to his comments that there were no material adjustments made to EBITDA beyond stock-based compensation expense. From an income statement perspective, I will highlight as I did last quarter that year-to-date expenses are continuing to run uniformly below prior year levels as we experienced the benefit of consolidated savings efforts throughout the organization. Specifically, I would note that SG&A expenses in the quarter are nearly $1.9 million lower than in the same period last fiscal year this despite an increased level of investment in the sales organization. On the balance sheet, David noted that our cash balance is up $2.5 million from the end of last quarter and $2 million from the beginning of the year. Accounts receivable at quarter end was at the lowest level in three years on the back of very strong collection efforts so I would note that the third quarter is cyclically the lowest for annual renewal invoicing and I would expect [AR] to rise modestly in the fourth quarter even with good collection and cash generation from operations. Turning to the liability side of the balance sheet, I will note that while generating $4 million of cash from operations year-to-date, we have concurrently reduced accounts payable by $1.65 million additionally thus far this year Streamline has made $1.4 million of principal payments against our term loan with Wells Fargo. Lastly, with respect to future visibility, the revenue backlog at quarter end was $67.5 million, down roughly 3% from the end of last quarter. That concludes my remarks. And I’ll now turn the call back to David.
David Sides: Thanks Nick. As stated every quarter since I became CEO, our number one objective is to ramp up our sales growth primarily in the form of new contract bookings and improve our client retention. Looking back and equally important objective was to improve our operating performance and balance sheet so that we could be in position to invest in sales and in the products on an ongoing basis. As mentioned earlier, we fully intend to invest in more and better resources to get our solutions into the market, adding talent were appropriate, adding more channel partners and by expanding our market segments to include long-term acute care, behavioral health and others, which means expanding our target list of potential clients. With regards to our Looking Glass platform, we continue to make progress here. We’ve improved our CDI offering to include outpatient settings thereby enabling more channel partnerships like the one we announced yesterday with himagine solutions. Our ECM Solution has new integration capabilities with Epic specifically with result scanning so we have more in progress this quarter. We are in discussions to deploy some of our new platform technology, which allows the clinician look for patient charts anywhere in the region and access them. From a bigger picture perspective, we are using our platform to integrate our ECM and our CDI solutions, our two largest client bases. This allows HIM professionals and coders to more efficiently complete their work. As mentioned briefly earlier, one of our accomplishments in the third quarter of this year was the smooth transition of our clients moving over to ICD-10 billings. The first two weeks of the month we did a fair amount of work, but the fact of the matter is our clients were prepared and handle this major change very well. I am very proud of the team members who own this process and made themselves available 24/7 to assist clients whenever needed. As always I want to thank our Streamline Health associates for their continued hard work and dedication to our clients for our shareholders into each other. We continued to be encouraged by the improvements in many areas of our performance and look forward to winning more of the deals in our existing pipeline as well as expanding our reach to partners in new target markets by investing and expanding our sales and marketing resources. I’ll now turn the call over to the operator for our Q&A session. Operator?
Operator: Thank you. [Operator Instructions] And we will take our first question from Charles Rhyee with Cowen & Company.
Charles Rhyee: Yes, hey, thanks guys for taking the questions here. David just want to go back to the bookings here, $1.1 million it was certainly from the lower end of probably what people are expecting, you point to ICD-10, anything else going on here that kind of is causing people to pause, maybe I’ll start there. Thanks.
David Sides: No, other macro factors on the pause, just the volatility of small company with some of the large deals that they moved, and it doesn't come through. We didn't have any channel partner sales last quarter like the layer of cake if we have three or four of those at the same time, we have a great quarter or two, okay, one not as good so more not having any channel partner sales as part of the reason for the mess.
Charles Rhyee: Okay. Second question then, you kind of indicated that we will know relative to December, how the claims are trending for people in their new ICD-10 platforms, how should we then think that some of the delays that we saw in the third quarter will stop [ph] again here in the fourth quarter?
David Sides: I don’t think so, I mean seasonally the third quarter is our lightest quarter from a bookings perspective. The fourth quarter is usually better because you line up with hospital’s fiscal financial year, so for all the other solution suites; clinical analytics, financial analytics, those would be on the normal. From the coding perspective, the early view from most of our clients is that it’s going well and so they’re looking at adding CDI and computer-assisted coding help with that productivity, so we think that pipeline will start up and our quarter doesn’t end until January 31, so even if clients see a slight hangover from December, we have time in January to get those deals done.
Charles Rhyee: Okay. Question on sort of the – your sales numbers I might have missed little something there, how many sales reps you have right now?
David Sides: Six Regional Vice Presidents.
Charles Rhyee: Six regional. And when you expand the territory, you’re going to be adding sales people for each of those new -- as you breakup the territories?
David Sides: Yes, we’re going to add people to the territories and now that we’ve signed himagine as a channel partner, NPA, we’re going to probably add a dedicated sales channel partner manager. To be sure we pay the right attention in them, getting deals move through our own process quickly and give them the collateral and the demos and things they need to get to their marketplace quickly.
Charles Rhyee: When do we expect to start seeing that play out? And yes, when do you think the timing in terms of when we’ll start to see the expenses rule in?
David Sides: This quarter, but they’re more than offset by the savings on audit side, so on the whole, we think it will be still neutral, so we could add up to $700,000 of additional expense and still have the same run rate that we have today.
Charles Rhyee: Okay. Just two last quick questions Nick, you talked about the sequential decline in SG&A, what was the primary driver here and is this sort of a sustainable level that we should be thinking about?
Nicholas Meeks: Well, I think it is probably a good run rate looking forward. There were professional services outside which is probably the single largest category drop, some of that was driven by not having to comply with SOX with respect to an integrated audit this year. But we put a lot of pressure on our professional services providers to drive that number down and are happy with the results and don’t see any reason for it to pop back up in the near term.
Charles Rhyee: Okay, thanks. And last question is in terms of the pipeline, how many sort of active kind of channel partner discussion are we still involved with at this point, I’ll stop. Thanks.
Nicholas Meeks: Three, so we’re working with three of the larger ones. tThe larger ones take a little bit longer to close, but we’ve had some good conversations with large healthcare IT companies that you know that we continue to progress, several of them we already have integration with their solutions at our client sites, and there is kind of an immediate addressable need, so we are trying to work through the technical final pieces of due diligence and then obviously contracting, but there are still some in the pipeline that we’re excited about, and we hope to get moving with them in the near-term as well.
Charles Rhyee: Okay, great. Thanks a lot.
Operator: And we will now go to Matt Hewitt with Craig-Hallum Capital Group.
Matthew Hewitt: Good afternoon gentlemen, congratulations on the continued progress.
David Sides: Thank you.
Nicholas Meeks: Thanks, Matt.
Matthew Hewitt: I guess first on the pipeline, some of the push-outs from Q3, have any of those closed, what are your expectations on timeline here I used one of this a little bit, but as far as what you had mentioned in the prepared remarks as far as push-outs, are you expecting one or more of those to close here in Q4 and what are your preliminary -- - but what are your preliminary expectations for 2016?
David Sides: Yes, so we expect many of those push-outs to close, some of those already so far this quarter, preliminary expectations with 2016 from what perspective?
Matthew Hewitt: From a booking standpoint. Looking at your pipeline today and obviously it’s an evolving situation, but as you look at it today, I mean can we expect one or two more large deals for your existing partners and then closing some of these smaller deals I mean is it going to be more of the same for next year, just maybe showing more consistent growth?
David Sides: It will be more, so the pipeline has grown substantially each quarter through the year, and next year especially adding these channel partners, so some of the channel partners were already demoing with multiple of their clients, so we’ve had – the channel partners in a way, they test you first to see are you really, I think you are good fit for my solutions side. Let me talk to a couple of clients and we talked to couple of other clients, okay demo to the couple of clients. Okay, what’s the pricing will look like? It looks like the clients actually buy this. Okay, let’s put together a deal, so it’s not kind of the – that process leads to their prospects of highly qualified by the time we sold the deal, I don’t know if those are closed this quarter, but in the next couple of quarters we expect some of those opportunities in that due diligence to actually close in the pipeline.
Matthew Hewitt: Okay. That’s helpful. As far as some of these partnerships what are the economics, how do those breakdown from a margin perspective for you guys and obviously if they are doing the selling you're doing the implementation I mean help us understand how that gets broken down from our revenue and margin perspective?
Nicholas Meeks: Most of them are subscription-based, we mainly sell recurring. So the margin is somewhat similar probably a little bit less than if we sold directly of course we don't have commissions to pay directly either and so that piece works out I think fine on the overall, it’s good business, we are encouraged actually that our channel partners have the scale of kind of a in a way of non-paid workforce right. So there is – some of these partners have many more salespeople than we do and they are able to sell the solution and get to their market and existing clients quickly. So that gives us confidence the products good, we just need to scale and the reach to get to more of these opportunities then were afforded today with the people we have on staff.
Matthew Hewitt: That makes sense. I guess maybe one more from me, there has been a lot of headlines here recently, while actually I’ve got two. There has been a lot of headlines recently regarding the efficiencies or the lack thereof that your hospital customers and broadly speaking the hospitals are having with ICD-10. They think they're getting it done, they think the transition for ICD-10 went smoothly, but the efficiency has dropped to the floor. I would assume that that's where you think you can come in and help. Is that this quarter you know when we start to get a read on the kickbacks on payment or is it going to take a little bit longer to really start to see that traction for your CDI and the couple of the other platforms?
David Sides: I think this quarter so I was at with one of our largest clients CHS a month ago and they use some of our solutions and they were doing well with the application that they had [indiscernible] having good productivity here, we are using their solutions, we are really glad we put these things in. I’ve been at other clients who are in our prospects and they are really struggling with I’ve got so many codes now to deal with and our coders are kind of overwhelmed and what happens as they start to have difficulty with more complex cases. So they can still code the simple cases, but the multi-diagnosis cases two or three is where they really need help get into these complicated charts and they are perfect fit for our computer-assisted coding which as you know reaches chart electronically suggest codes that people might miss because you are having the difficult time reading throughout 100 sheet, a 100 page chart if you will. Those opportunities I think look really good for us. So I think that’s more of the norm of people haven’t taken some of these technologies or they are using other providers that aren’t maybe as efficient or have good efficiency built into the system and that looks like a good pipeline for us.
Matthew Hewitt: Okay. One last from me there has been some acquisitions in the space recently, obviously one of your neighbors getting acquired and others – does that create some opportunities as you're going out to look for some top-notch salespeople are you seeing those types of individuals looking for jobs or rely maybe upon your history and some of the relationships you’ve had in the past to bring some people over to Streamline just any color on the types and quality of people that you anticipate bringing in?
David Sides: Yes. So we’ve – that disruption of our competitors is great for us so we’ll run marketing campaign specifically for their client bases on ways they could use our solutions to do a better job and not have to worry about our transition and we’ve also been able to hire people from those companies and we expect to hire actually more from those companies, because they come with industry knowledge, with context and good depth of experience on the problems that our clients need to solve when they see our solution, our solution is actually more flexible and a better solution so they're pretty excited. So that’s also a great source of talent for us, a good source of lead and we think it will be a good pipeline as moving forward.
Matthew Hewitt: Great, thank you.
Operator: We will now go to Frank Sparacino with First Analysis.
Frank Sparacino: Hi guys, first just on the professional services revenue that was invoiced, but deferred, is there anything unusual there, I assume it’s just simple related to revenue recognition rules, but anything to highlight?
Nicholas Meeks: Yes, it’s all revenue recognition driven Frank, some of it is obviously the overall mix of the business. So post-implementation services are subject to the same deferral and the accounting rules, but the more we saw on a subscription basis the more is ultimately deferred and as we build critical scale ultimately that amortization number should begin to match the deferral number, but we’re still ways from that.
Frank Sparacino: Okay. And lastly, just David when you look at 2015 can you give me a sense I mean where you think the year will end up in terms of the channel contribution and then when you look at 2016 what would be a realistic or optimistic target there?
David Sides: I think if you look at 2015 the channel contribution will probably be around a quarter of the total bookings I think next year it has the opportunity to increase to half and that’s at the same time that our plan is for the rest to increase at the same rate. So I think it increases faster than we increase with our direct sales force, but we’re investing in our direct sales force as well?
Frank Sparacino: Thank you, guys.
Operator: [Operator Instructions] And we will now go to Bruce Jackson with Lake Street Capital Markets.
Bruce Jackson: Hi guys. A couple of questions on the himagine agreement, so this is one of the largest providers of outsourced coding solutions in the country. Should we be – can we like it [indiscernible] like leading indicator has to whether or not there might be some demand for the ICD-10 coding services or hospitals like going to the outsourced solution first and then should this be like a leading indicator for what might happen next year?
David Sides: Yes, it could be, we think it could be and meeting with the folks from himagine, at first people thought when ICD-10 comps there will be a lot of work and then it will kind of [indiscernible] in fact this year’s sustained growth in this ICD-10 were isn't going to kind of diminish over time, the number of things to comply with on the coding arena from a regulatory perspective continues to increase in the charts are always getting more complicated the EMR, so probably marking the charts more complicated than they were before just from a volume perspective. So all those trends are kind of leading through more work to be done which is then leading to more outsourcing and more automation of the work. So I think it could be a leading indicator and I think that the trends are positive at least from our perspective.
Bruce Jackson: Okay. And then the follow-up question to that is how would the revenue from this agreement flow to you is it something that’s going to pick up quickly or will it develops over time in 2016?
David Sides: As soon as we start working together we’ll get subscription revenue from that, the services will come as worked, so you'll see kind of a start of services and then you will see a steady stream of revenue over the term, over the next three years.
Bruce Jackson: Okay. Then with the hiring in the sales and marketing group is that – could you give us a few more details on the pace of the hiring so is it something that you are going to try to scale with the increase in revenue or do you hire people on and then have them ramp up to a certain productivity rate?
David Sides: So we’ll hire people in the coming quarter, so we’re looking at a sales channel manager for example next week. We have I think plenty of room in the EBITDA line especially with the switch of auditors giving us additional room for next year and then drive from there, but in other words next year I think it gets levered for many revenue increases next year as we saw more next year. I think it’s purely levered on the EBITDA line.
Bruce Jackson: Okay. That’s it from me. Thank you.
David Sides: Thank you, Bruce. End of Q&A
Operator: And it looks like there are no other questions at this time. I will now turn the call back over to Mr. Salisbury for any additional or closing remarks.
Randy Salisbury: Well, thank you again for your interest and support of Streamline Health. If you have any questions or you need additional information, please contact me directly at randy.salisbury@streamlinehealth.net. And we look forward to speaking with you all again in early April of next year, when we’ll discuss our fourth quarter and fiscal 2015 year-end financial performance. Thank you and have a good evening.
Operator: Ladies and gentlemen, this does conclude today’s conference. We thank you for your participation.